Operator: Ladies and gentlemen, thank you for standing by, and I'd like to welcome you to Banco Santander-Chile's Fourth Quarter 2025 Earnings Conference Call on the 5th of February 2026. [Operator Instructions] So with this, I would now like to pass the line to Patricia Perez, the Chief Financial Officer. Please go ahead.
Patricia Pallacan: Good morning, everyone, and welcome to Banco Santander-Chile's Fourth Quarter 2025 Results Webcast and Conference Call. This is Patricia Perez, CFO, and I'm joined today by Cristian Vicuna, Head of Strategy and Investor Relations; Lorena Palomeque, our Economist. Thank you all for joining us today as we review our performance and results for the fourth quarter. Lorena will begin with an overview of the economic environment followed by Cristian, who will walk you through our strategic priorities and fourth quarter results. We will then conclude with a Q&A session.
Lorena Palomeque: Thank you. Throughout 2025, Chile's macroeconomic environment continued to improve gradually after several years of significant adjustments, inflation maintaining a clear downward trend and continued converging towards targets, which allows monetary policy to move away from a clearly restrictive stance. As a result, financial conditions became progressively more supportive, helping to stabilize economic activity. Here on Slide 4, we can see the regulatory and policy environment. A key development in 2025 was the implementation of the mortgage subsidy law, aimed to lowering effective borrowing costs and supporting the recovery of housing demand. This measure is particularly relevant in a context where affordability constraints and higher interest rates have significantly affected mortgage origination in previous years. While the impact is gradual, it represents an important step towards reactivating a strategic sector for the economy. In parallel, there were important advances in the regulatory modernization agenda. Progress on the fintech and open finance law established the foundations for greater asset portability, a stronger competition among financial institutions and increased innovation in digital financial services. Over time, this framework should enhance efficiency, improve customer outcomes and support the development of new financial solutions while maintaining appropriate risk management standards. In addition, initiatives such as the sectoral permits law are designed to simplify and eliminate redundant regulatory approvals. By reducing administrative complexity and execution risk, these measures aim to lower barriers to investments and accelerate project development. Together with a continued focus on fiscal adjustment and spending efficiency, they contribute to a more predictable and sustainable policy framework. The new administration will assume office in March 2026 with an agenda that includes 3 economic policy initiatives that may provide additional stimulus to economic activity in the period ahead. Based on public communications, we expect an emphasis on large-scale investment projects alongside efforts to simplify permitting process and technical requirements in order to reactivate key sectors of the economy. These measures could have positive spillovers for construction activity, household supply and private investment more broadly. Another potential initiative is a reduction in the corporate tax rate. Currently, Chile's corporate tax rate stand at 27% and President-elect, Kast has indicated an initial target of reducing it to 23%. This would help improve competitiveness and attract domestic and foreign investment. Any such changes would likely be phased in over several years to mitigate fiscal impact. In parallel, the administration has highlighted the importance of improving spending efficiency and strengthening fiscal sustainability through enhanced budget allocation and expenditure review processes. It is important to note that the implementation of these initiatives will depend on congressional approval. While the new administration is close to achieving a majority, legislative dynamics will play a key role in shaping the scope, timing and final design of any policy changes. As we can see on Slide 5, one of the most encouraging developments in recent months has been the improvement in confidence. Business confidence followed a steady upward trend and moved gradually into optimistic territory at the beginning of 2026, also differences across sectors persist. Commerce confidence is now firmly in positive territory, while construction, one of the sectors most negatively affected since the onset of the pandemic, has shown a significant improvement in recent months. This matters because confidence is a key leading indicator for investment and credit demand. What we are observing is an economy that is gradually shifting from a defensive stance towards a more constructive mindset, in which companies begin to reactivate investment decisions and households may start to incorporate this improved environment in their financial planning. On Slide 6, we can see how the economy has been performing and what we expect for the coming years. Chile remained on a growth trajectory despite a challenging external environment and a still fragile labor market. The economy is estimated to have expanded by 2.3% in 2025, driven by a recovery in domestic demand. In particular, economic activity benefited from a strong increase in investment driven by the execution of larger-scale investment projects in the mining and energy sectors. In contrast, residential construction remains under pressure, meanwhile private consumption recovered gradually over the year. Regarding inflation, after the application associated with the adjustment of electricity tariffs at the beginning of the year, the consumer price index followed a downward trajectory, closing the year at 3.5%. With inflation expectations well [ anchored ] in the medium term and a limited outlook, the Central Bank continued its normalization process, lowered the monetary policy rate to 4.5% in December 2025 and gradually approaching its neutral level. The labor market gained some traction over the course of the year. Also vulnerabilities remain. During the first half of the year, job creation was limited, but this shifted in the second half when employment began to increase. As a result, the unemployment rate closed the year at 8%, averaging 8.5% over the year, the same level as in 2024. For the next year, we expect labor market conditions to improve gradually as activity recovers. Looking ahead to 2026, inflation is expected to remain marginally below the 3% target, while an additional cut to the monetary policy rate is anticipated in the first half of the year, taking it to an estimated neutral level of 4.25%. Economic activity is projected to expand between 2.1% and 2.4%, broadly in line with trend growth before picking up in 2027. So even as global risk remains elevated amid geopolitical tensions and increasing economic fragmentation, the local outlook appears more constructive. At the domestic level, expectation of a more market credit policy environment, combined with regulatory simplification and a stronger focus on competitiveness and investment should translate into an improvement in business client. This environment is supportive of a gradually recovery in credit demand as confidence improves and financial conditions ease. Importantly, this recovery is likely to be more balanced and sustainable than in previous cycles, supported by stronger macro fundamentals and a more resilient financial system. I will now hand over to Cristian for the rest of the presentation.
Cristian Vicuna: Thank you, Lorena. On Slide 7, we outlined our strategy to create value for all our stakeholders entered in our vision of being a digital bank with Work Cafe. Our focus remains on attracting and activating new clients, understanding their needs and deepening engagement. We continue to target more than 5 million clients by 2026 while steadily increasing our active customers. At the same time, we're building a global platform that leverages artificial intelligence and process automation to scale efficiently. This supports lower cost per active client and reinforces operational excellence. Our goal is to sustain an efficiency ratio in the mid-30s or better, reflecting a disciplined and digital operating model. We are also broadening our transactional and noncredit fee-generating services. This supports double-digit fee growth and best-in-class recurrence, defined as fee income over structural operating expenses. As our client base grows, activity levels continue to increase, particularly in payments. Our digital ecosystem encourages frequent and seamless interactions, strengthening engagement and loyalty. This growth is supported by strong CET1 levels, ensuring that expansion remains sound, responsible and aligned with regulatory expectations. Together, this strategy position us to deliver attractive value creation with ROEs above 20% and a dividend payout ratio of between 60% to 70%. On Slide 8, we can already see how our strategy over the last few years has succeeded in changing our income mix and creating a more efficient and profitable bank. Our key measure of value creation has been the strong growth in ROE, which has increased by more than 6 percentage points, more than double the improvement seen in the industry while maintaining solid capital ratios throughout the implementation of Basel III. This has been supported by a 4 percentage point improvement in efficiency compared to 1 percentage point for the industry, reflecting disciplined cost control and the successful execution of our digital transformation. At the same time, fee income has increased from 15% to 21% participation of our total revenues, driven by client growth and the expansion of noncredit services, including digital accounts, cards, asset management, brokerage and acquiring. Industry revenue composition has remained broadly unchanged. This shift has driven our recurrence ratio to the best-in-class levels now above 63%, well ahead of peers. We're very proud of the success of our study had so far. As you will see later on, we are enthusiastic about the evolution of our results in the coming year. Now in Slide 10, we will take a closer look at the results this year. As of December, the bank generated net income of CLP 1,053 billion, up 23% year-on-year. This resulted in a return on average equity of 23.5% and an efficiency ratio of 36%. Growth was supported by a 9% increase in fee income and an 8% rise in financial transactions. Mutual funds grew 7% and the recurrence ratio reached 63.7% year-to-date. Net interest income, including the adjusted income increased 11% year-on-year, while NIMs remained stable at 4%. Our capital CET1 ratio stands at 11%, and we are provisioning a 60% dividend payout to be paid in April next year. We also began 2026 with a successful $500 million 5-year 144A issuance at a rate of 4.55%. During the year, we received several important recognitions, Euromoney, Latin Finance and The Banker named us the Best Bank in Chile, while Global Finance recognized us as Best Bank for SMEs. We also strengthened our sustainability profile with our MSCI ESG rating improving from A to AA and our sustainability score improving to 15.4 levels. On Slide 11, we show the evolution of the quarterly ROE. We have consistently maintained ROEs above 21% even in quarters with lower inflation. In the most recent quarters, new variation was 0.61% and ROE reached 21.9%. On a yearly basis, net interest income increased 10.9%, driven by a lower cost of funding, which improved by approximately 100 basis points year-on-year. As a result, year-to-date NIM reached 4%. Slide 12 highlights the continued expansion of our client base and its impact on fee generation. We now serve close to 4.6 million clients with 58% active and approximately 2.3 million digital clients accessing our platform monthly. Current accounts increased 9% year-on-year, supporting 5% growth in active clients and 7% growth in total clients. This translated into a 15% increase in credit card transactions and a 7% increase in mutual fund volumes. Client satisfaction remains high across our products. We also continue to expand our corporate footprint, increasing business current accounts by 19% over the last 12 months, driven by simple business account and integrated payment solutions through Getnet. As shown on the right-hand table, higher client activity translated into 8.5% year-on-year growth in fees and financial transaction income with cards, Getnet, account fees and mutual funds showing strong momentum. On Slide 13, the income growth and disciplined cost control supported strong operating metrics. The efficiency ratio reached 36%, the best in the Chilean banking industry in 2025, while the recurrence ratio reached 63.7%, meaning more than 60% of our expenses are covered by fee generation. Operating expenses increased temporarily in early 2025 due to cloud migration costs. For the full year, operating expenses grew just 1.6%. In the quarter, total core expenses declined 1%, driven by lower administrative costs, reduced data processing expenses and the appreciation of the Chilean peso. Overall, we continue to deliver best-in-class efficiency and recurrence. At the same time, we are evolving our branch network towards the Work Cafe format, improving efficiency and customer experience supported by continued enhancements to our digital platforms. On Slide 14, we show an overview of our cost of risk and asset quality. As in prior quarters, cost of credit remains above the historical average. The bank has been actively managing different parts of the portfolio, increasing loan duration that is reflected in increasing the impaired loan ratio, while our nonperforming loans with 90 days over or more has stabilized. On Slide 15, we can see that the CET1 ratio reached 11% in December, far above our minimum requirement of 9.08% for December 2025 and demonstrating about 50 basis points of capital creation since December 2024. This was driven by our income generation in '25 and considers a 60% dividend provision of our 2025 profit and a 2% increase in risk-weighted assets. Our capital ratios are now fully loaded with complete implementation of capital deductions in the Basel III Chilean framework. In January of 2026, the regulator published the current Pillar 2 charges for the Chilean banks, where we were assigned a Pillar 2 charge of 13 basis points. This is a reduction from the original 25 basis points that were assigned last year, demonstrating our solid management. Of the 13 basis points of Pillar 2 charges, about 8% must be met with core equity Tier 1 capital. So on Slide 17, we show our guidance for 2026. For this year, we're expecting a GDP growth of a low 2%, as Lorena already mentioned, with a UF variation just below the 2.9% and an average monetary policy rate of around 4.3%. We anticipate a more favorable business environment this year, supporting mid-single-digit loan growth with a stronger rebound in the second half of the year. Despite the slightly lower inflation, loan growth and slightly lower rates will help to sustain our NIMs on 4% levels, while our fees and financial transactions should grow mid- to high single digits. This does not include any impact for a further interchange fee reduction, which is yet to be defined by the interchange fee commission. Our efficiencies should remain around the mid-30s, while our cost of credit should continue to improve gradually to reach around 1.3% for the full year. Based on these assumptions, our expectation for 2026 are for an ROE within the range of 22% to 24%, highlighting the strong profitability of Santander Chile. With this, I finish the presentation, and we can start the Q&A session.
Operator: [Operator Instructions] Our first question is from Ernesto Gabilondo from Bank of America.
Ernesto María Gabilondo Márquez: My first question will be on the economic and political outlook. So we have been hearing that there could be the possibility to reduce the statutory tax rate and also to reduce the credit cap limit. So any color on what you are hearing also will be very helpful. And then my second question is on your loan growth expectations. You were guiding between mid-single digit around that. Just wondered if you can break down in terms of how much we expect for each segment, also very useful. And for my last question is in the sale of Getnet. I don't know if you can provide more details on the implications behind that. I don't know if you obtain an amount of cash from this transaction. So any more details will be helpful.
Cristian Vicuna: Thank you, Ernesto, for the questions. So I'll pass the word first to Lorena for the economic political outlook. And then Patricia will comment on asset expansion. I'll get the last question from Getnet.
Lorena Palomeque: Yes. For the political and economic outlook, it's important to say that we correct growth projections for 2026 and '27 mainly due to -- for one side, improvement of copper prices process and better performance of trading process and of course, the dynamic of internal demand. But in the political side, we expect that the new government will have a transition period and the tax reduction could take some time. So we expect the effect more in the 2027 and in the second half of this year than in the short term.
Cristian Vicuna: Right. Regarding the credit card limit discussion, we believe that, that's going to take longer to get discussed in Congress. So we don't expect anything going on in 2026 regarding that change. It will be welcome news for the industry and for the bancarization of the Chilean economy in general terms, but I believe it's going to take a while for that to get discussed.
Patricia Pallacan: Ernesto, regarding the loan growth for this year, as Cristian mentioned, our guidance for this year is to be around mid-single digits, both for the industry and our bank. Assumptions behind this guidance are consistent with a macro that improves gradually within the year. First of all, on the consumer side, we are seeing steady growth in auto lending. The weaker demand still for installment loans that we are expecting to improve during the year. Regarding commercial portfolio, we already have seen a reactivation in investment in mining and better investment cycle together with recent improvements in confidence, as Lorena showed us. However, this has not yet translated into stronger growth. But during the year, this should boost commercial lending, especially in large companies and other parts of the economy as well and also help to drive higher consumer lending. And finally, regarding mortgages, we have also seen gradual improvement in the demand during the year, in line with better conditions in the Construction segment, also the mortgage subsidy launched in May last year. And going forward, we are expecting better trends, especially in the affluent segment. All in all, we think we are well positioned in terms of liquidity and capital as well to support a higher growth scenario. And in addition, we also think we benefit from the scale and synergy generated by being part of Santander Group, leveraging shared platforms and international market expertise from the global and local teams as well.
Cristian Vicuna: Thanks. And regarding the Getnet question, so we had a shareholders meeting last week that considered an offer from Getnet Payments to acquire the minority stake of Getnet Chile in order to formalize a strategic partnership. The main goal is to strengthen the Getnet Chile position in a payments market that we believe is increasingly competitive, both technologically and requiring global integration. Bringing in a large international player will allow us to access those capabilities such as continuous innovation, scale, globally proven functions and the international network that opens new business opportunity for our acquiring operation. It's very relevant that we are keeping control and the majority of the Board, ensuring business continuity, indebtedness, strategic continuity while managing the business. And at the same time, we are adding a partner that accelerates growth and strengthen the efficiency and leadership for the next stage that we're seeing on the market. So we think this is a decision to strengthen Getnet's future and create value that will benefit all shareholders. Regarding the Construction, included an initial payment of CLP 68 billion and a service agreement under which Banco Santander provides infrastructure, staff equipment and data processing to sell Getnet solutions. And Santander will receive -- Santander Chile will receive the equivalent of 10% of the net operating revenues for the next year with an automatic extension of that contract for additional 3 years. So all in all, we assess about 65% to 70% of the total net income of Getnet will go straight to Banco Santander Chile. So the impact in terms of P&L is negligible. And well, we had the meeting last week. So the transaction was approved with -- the quorum was very close to 95% of total shares, and it was approved by close to 87% of the participant. Out of those, 29% were minority shareholders and the majority of the minority shareholders voted in favor of the transaction. Change in regulation requires that all shareholders must vote on the shareholders' meeting to achieve the quorum required by the law. So that's why the group also was forced to vote, but we had a very strong support from the minority base of shareholders. So that's pretty much regarding Getnet.
Operator: Our next question is from Lindsey Shema from Goldman Sachs.
Lindsey Marie Shema: Cristian and Lorena, just first, your 2026 guidance implies a slight improvement in cost of risk. Just want to hear where you see that coming from and your projections for asset quality throughout the year? And then my second question is just we saw expenses falling year-over-year in this fourth quarter. And you mentioned some efficiency improvements you've been doing that can lower your efficiency ratio long term. So just wanted to get some more color on improvements you've been making there and how you see expense growth progressing going forward?
Cristian Vicuna: Thank you, Lindsey, for your questions. Regarding risk, well, 2025 was on the neighborhood of the 1.4% cost of risk for this operation, and we are expecting that to improve to levels of 1.3% area. We did a relevant job in terms of improving NPLs in the commercial portfolio last year. And apart from the agro sector, we don't expect many, many new pieces of information from that part of the portfolio. So all in all, we are seeing a more sustainable and controlled cost of risk looking forward. In terms of -- we saw a slight pickup, as I already mentioned, in December figures due more to seasonality and the start of the summer holidays that put some pressure on the collection teams by contactability, but nothing that we are seeing a very concerning. And at the same time, the mortgage portfolio, which has been increasing in [indiscernible] is not going to pass through as cost of risk, and we expect this to start improving this year gradually. It's going to take a while because the judicial process of collections is taking longer. But all in all, we don't expect this to pass through to cost of risk. So that's why we are more comfortable guiding a slight improvement this year. And to your question on expenses, the way to look at this is that we aim to control the growth in our expense base by trying to deliver inflation expansion or inflation plus 1%. That's what we're seeing in the long term as an internal target. We are addressing this through a strong transformation in our technological platforms, improving efficiency, getting rid of routinary tasks that can be avoided and implementing new solutions and new technologies, and we are delivering some initial things on artificial intelligence that are probably going to allow us to sustain on these trends. We are not expecting very relevant changes in the network size of us. So just slight modifications, maybe opening 1 or 2 new formats with Work Cafe and renovating some part of the legacy branch that we still have some 90 branches over there. But to your point regarding the improvement in the final part of the year, well, there was a relevant peso appreciation. And about 25% of our administrative expenses are linked to euro and U.S. dollar currencies. So that's also explaining a little, but it's also part of the whole story of how we are trying to achieve the best levels of efficiency in the industry. So thank you.
Operator: Our next question is from Yuri Fernandes from JPMorgan.
Yuri Fernandes: A quick one, just on the guidance, just checking if the guidance includes the reduction on Getnet stake. I know it's small, but if you can remind us what is the relevance for ROE and especially for the non-NII guidance this year, I guess you grew your fees closer to high single. I think the guidance shows a little bit of a slowdown, but not sure if this is Getnet or maybe [ mutual ] funds that were also very strong, maybe being a little bit more normalized. So just trying to understand if the guidance reflects Getnet. I understand you still need to deconsolidate. So maybe you still consolidate 10% of Getnet for a few more quarters, but just trying to get some color on this. And on your presentation -- go ahead, and I can ask another one later.
Cristian Vicuna: Okay. So well, regarding your questions, and thank you for that. In terms of the fee figures, you're not going to see any changes. Well, you're going to see an increase in the final part of the P&L in the minority stake in the net income assigned to minority shareholders, right? So that's where you're going to see an increase in that line that will be an effect that it's less than 1% of the total P&L of the company through the sale of this subsidiary. So it's nothing that's going to be seen as material in terms of ROE. Well, consistently, this should be on the neighborhood of 20 bps of ROE. So we are not changing guidance for this matter. It's included in the 22% to 24% range. So do you have another question, Yuri?
Yuri Fernandes: Yes. No, no, that's clear. So basically, it's -- and sorry for that, it should be a minority interest, the delta here. I have just another follow-up on the SME business. On Slide 13, Cristian, you showed the EPS of SMEs and you point to 37. And you are the first here, probably you are the best one. But 37% looks a little bit low for NPS. So just checking if the number is correct and if this is the real number, if you're happy with this number or if you are working to improve, that would be...
Cristian Vicuna: No, in general terms, SME NPS in the local industry, it's slower, slower and it's in the area of the 33% to 37% range for most of our peers. We track this with the same methodology consistently along the years. So nothing has changed on that side. We are trying to get to levels closer to 50%, but the reality of the industry here in Chile is that, all in all, NPSs in the SME area are to be lower.
Yuri Fernandes: Okay. And my final one here, just a broad one regarding the parent company and Santander Chile. Do you see any other business area where there could be synergies and optionalities similar to Getnet? Just trying to understand if we could see further partnerships like on investment bank. We already have, I guess, insurance, right, and asset management. But just trying to understand if there are other areas that could be synergies with the parent.
Cristian Vicuna: So all in all, as a group and their operations in Chile, I think pretty much most of the pieces are in place. So you mentioned Santander Asset Management. We already have and we acquired from a previous partner a couple of years ago. And actually, we control, too, the Santander Consumer Finance operation. That's another subsidiary of the bank. We, of course, lever the partnership with the Santander Group through all the alliances that we can show as a very, very effective and with great results in terms of the amount of new brands that we cover through the auto lender. So that's a good example of one area where we are tapping into the group resources. And the other part is a direct acquisition that the Santander Group did in Chile and that was announced in January where the group purchased an annuities company from principal. This is subject to regulatory approvals, and we expect those to -- that operation to be fulfilled by mid this year, so very close to third quarter. And well, there are some natural components between annuities companies in the Chilean market and banks as we banks tend to originate longer. We have a very good capability of originate longer assets, but it's getting more expensive for us to store them. And those assets are quite interesting for companies like the one that was recently announced to be acquired. So I think that's pretty much the state of the art. We don't expect many moving parts going forward and the group needs to integrate this new acquired operation into the area of control. So that's what I...
Yuri Fernandes: No, no, that's clear. On annuities, can the local banks on annuity companies in Chile or you can't...
Cristian Vicuna: No, no. Capital from banks have not been completely isolated from annuities companies. So we have to remain -- we have to control those business completely separate, and that's why it was the Santander Group that purchased that company.
Operator: Our next question is from Neha Agarwala from HSBC.
Neha Agarwala: We are hearing about some discussions around removing interest rate caps for consumer lending. And given that you've been historically very strong in the mass market segment, how do you weigh that opportunity? And also if you have any clarity as per that discussions? And how could that impact Santander Chile? I'll ask my next question later.
Cristian Vicuna: Thank you for the question. Interest rate caps have relevant limits on the ability in Chilean banks to charge interest rates to customers. So credit cards are capped at 40%, and the typical auto lender will be lending on the area of 20% to 22% and so on. So it's a sign on different sorts of products, sizes of the credit and durations. There is an early discussion regarding whether the system needs amendments on the definition of interest rate caps. But it's too early to say when this discussion is going to go from the government to the economic commissions in Congress to be discussed. So we don't expect pretty much this thing getting approved this year. We think it's too early to tell. We need first for the Kast administration to take office. And then they will announce what the schedule is going to be like and what their priorities are going to be. We believe that it will be or it would be good news in terms of general bancarization access, especially for the part of the mass market. But we don't expect news to come on that front too soon.
Neha Agarwala: Perfect. Very clear. And regarding your loan growth expectation, we are expecting the Kast administration to take office. And after that, maybe we could see a pickup in investments in general, which could improve the sentiment and the loan growth. Is that scenario already incorporated into your guidance? Or could that pose a little bit of upside risk, mostly in the second half?
Cristian Vicuna: So pretty much what we're seeing is a low 2% year, so something 2.3% in that area. So 1x that plus inflation places you on the low 5% area. We're expecting something between 5% and 6% for the year. Remember that Kast administration will take office in March 11. So we don't expect structural changes to be made at least until the second quarter, maybe more skewed to the final part of the year. So the pickup that we are expecting in terms of growth for the economy in general are more skewed to the final part of 2026 and into 2027.
Neha Agarwala: And you account for that in your forecast, right?
Cristian Vicuna: Yes. Yes. That's what we are considering in the forecast.
Operator: [Operator Instructions]Our next question is from Ewald Stark from BICE.
Ewald Stark Bittencourt: I have 2 questions. The first one is if you can provide any details regarding your expectations for risk-weighted assets density for the year-end? And the second is regarding sensitivity to inflation. It seems like sensitivity to inflation has decreased based on monthly financial results. Those are my 2 questions. Well, what do you expect going forward regarding net income from indexation units relative to inflation?
Patricia Pallacan: Okay. Thanks, Ewald, for your question. Regarding the risk-weighted assets for this year and the density with a mid-single-digit growth in loans during this year, we are expecting consistent with that scenario, a growth in risk-weighted assets around 2% for this year. That will keep the density within this level, assuming that the proportion of the growth is what we already mentioned in our loan growth projections, right? So that is our base scenario for RWAs. Regarding inflation for this year, we are considering an average exposure to inflation of around CLP 8.5 billion, which means around 15 basis points of sensitivity to every 100 basis point inflation, right? So it is true that by the end of the year, last year, we reduced our exposure given the low CPI rate that we have. The average for this year will be around CLP 8.5 billion in our base scenario.
Cristian Vicuna: Could you clarify what you mean by the net income from indexation?
Ewald Stark Bittencourt: Well, if you decompose net interest margin -- well, the NII, the NII is composed of 2 main elements, interest and the component of inflation, yes.
Cristian Vicuna: Yes. So regarding the readjustment part of the NII that you're mentioning, as Patricia already mentioned, we are carrying about a 15 basis point sensitivity per 100 percentage -- 100 basis points of inflation movement, right? So that's pretty much in the area of the CLP 8 billion along inflation. So pretax, it will mean about $80 million per 100 basis points of inflation.
Ewald Stark Bittencourt: Perfect. And let me check if I got this right. So you expect risk-weighted assets density to mildly decrease throughout the year because they are going to increase by 2%, while assets will be growing by close to 5%, given your expectations for loan growth?
Patricia Pallacan: Yes, right. If we assume that -- if we assume that our density maintained during the year, an increase of 5% in loan portfolio will imply around 2.5% of risk-weighted assets growth during the year.
Operator: We have a follow-up from Yuri from JPMorgan.
Yuri Fernandes: Just going back to the Getnet, a curiosity I have here regarding the appraisal report, and I know it's not the company, right? But some of the appraisals, they had a little bit -- in our view, a little bit conservative revenue CAGRs ahead, right? I guess revenue for Getnet should be growing 5% until 2035, like net income decreasing minus 15% CAGR until 2035. Just to understand like is this the view of the company? Like should we -- when we see your fee guidance and this thinking about the total for Getnet, should we assume like even more competitive environment, changing industry, this is the reality, like should Getnet grow revenues at 5% going forward?
Cristian Vicuna: So well, you mentioned -- well, that's for the long run, in terms of whatever was in the different documents displayed some stronger still growth in the first 2 years. But actually, to your point, we believe that the industry is facing relevant transformations, right? So on the one side, some very -- some recent news have talked about how Transbank now can renegotiate all the fees structure that were locked in by some court rulings. So that will create a relevant pickup in terms of competition from the largest player in the industry. At the same time, we've seen some M&A happening of Itau and the initiation of the acquiring operation of Banco de Chile. And as such -- and we also saw the Chilean Central Bank authorizing the chamber of payments that will provide functionality for instant payments in a similar way to PI for the start-up environment. And all of this is on the umbrella of upcoming changes in the regulation that are already approved such as the open finance law. So we are seeing a super intensive change in the way the industry is configurated. We are seeing a relevant increase in competition. And as such, we expect that the economic drivers that were part of the success of the growth of Getnet for the last 4 years are changing as we speak in terms of -- now we'll be competing with more and more relevant competitors and not only an incumbent that had the hands locked by some court rulings. This is why we believe that it was the right time to incorporate the strategic partnership with PagoNxt to support the efficiency and the growth prospects of Getnet through the capability to enter into some cross-border transactions that we can get through this partnership. So that's pretty much the main key beliefs that are behind the transactions. And that we have been seeing materializing in the last 2 to 3 months. Thank you, Yuri.
Yuri Fernandes: No, no, that's a good answer, Cristian. So basically, maybe the near term is still doing fine, but competition is building up. So who knows what's going to happen, but it's likely that maybe we're going to see a more challenging environment for Getnet. I guess that's the summary, right?
Cristian Vicuna: Yes. Yes. That's it.
Operator: It looks like we have no further questions. I will now hand it back to the Santander Chile for the closing remarks.
Patricia Pallacan: Thank you all very much for taking the time to participate in today's call. We look forward to speaking with you again soon.
Operator: We'll now be closing all the lines. Thank you, and have a nice day.
Lorena Palomeque: Thank you.
Cristian Vicuna: Thank you.